Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:03 Ladies and gentlemen, thank you for standing by for Autohome’s Fourth Quarter and Full Year 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A questions-and-answer session will follow the formal presentation. As a reminder, this conference call is being recorded. If you have any objections, you may disconnect at this time. 0:30 It is now my pleasure to introduce your host Sterling Song, Autohome's IR Director. Mr. Song, please go ahead.
Sterling Song: 0:40 Thank you, Venus. Hello, everyone, and welcome to Autohome's Fourth Quarter and Full Year 2021 earnings conference call. Earlier today, Autohome distributed its earnings press release, and you may find a copy on the company's website at www.autohome.com.cn. 1:01 On today's call, we have Chairman and Chief Executive Officer, Mr. Quan Long, Co-President, Mr. Haifeng Shao, Chief Technology Officer, Mr. Bibo Xiang, Vice President, Mr. You Zhou; as well as Finance Director, Ms. Hong Jiang. After our prepared remarks, our management team will be available to answer all your questions. 1:24 Before we begin, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to, those outlined in our public filings with the Securities and Exchange Commission. Autohome doesn't undertake any obligation to update any forward-looking statements, except as required under applicable law. 2:05 The earnings press release in this call also includes discussions of certain unaudited non-GAAP financial measures. Our press release contains a reconciliation of the non-GAAP measures to the most directly comparable GAAP measures, and is available on Autohome's IR website. As a reminder, this conference is being recorded. In addition, a live and archived webcast of this earnings conference call will also be available on Autohome's IR website. 2:35 Next, I will now turn the call over to Autohome's Chairman and CEO, Mr. Long. Mr. Long, please go ahead.
Quan Long: [Foreign Language] 2:48 [Interpreted] Thank you everyone. Hello, everyone, and thank you for joining us today in the earnings call. 2021 was another unusual year for all of us. Despite the challenging macro environment, we are incredibly proud of Autohome's resilient performance throughout the whole year as well as its ongoing efforts to transform and upgrade its business. We are also proud of the continued recognition we receive from both the industry and our customers, including being listed as one of China's Top 100 Internet Companies for the ninth consecutive year, ranking 20th in 2021. We delivered total revenue of RMB7.24 billion for 2021, of which the contribution from new business rose from 23.2% in 2020 to 30.9% of total revenue in 2021, with new business revenue growing 11.6% year-over-year. Our adjusted net profit for the year was RMB2.58 billion, with our adjusted net margin maintaining the comparatively high level of 35.7%. 5:46 2021 witnessed two significant milestones we achieved. In mid-March, Autohome successfully was listed on the Hong Kong stock exchange. We're delighted to have reached this milestone and to have embarked on this new journey to increase Autohome's exposure to Hong Kong's capital market. During our Investor Day in September, we unveiled our ecosystem strategy to bolster Autohome's integration with Ping An's auto ecosystem, making our unique suite of full-cycle auto ecosystem services as well as our leading-edge platform accessible to an even broader base of C-end customers, B-end OEM customers and other partners in the auto ecosystem. In addition to maintaining our annual dividend payout of around 20% net income for the year, we launched a USD 200 million share repurchase program to reward shareholders for their long-term support, which represented our commitment to our strategic upgrade and confidence in our future performance. 8:19 Amid the challenges we faced over the past year, we strove to seek new opportunities and tap into new arenas while sustaining robust momentum in our traditional business and preserving our preeminent position in the auto media vertical. We have increasingly explored new business areas to build a solid foundation for our second growth trajectory. For C-end customers, we remain focused on expanding video content as well as other engaging content appealing to younger users. With a growing, diversified and high-quality content library, we continued to expand our user base. In December 2021, Autohome recorded an all-time high mobile DAU, up 11.4% year-on-year, further cementing our leadership in the industry. Moreover, we formed a strategic alliance with AMAP to expand the use cases that would benefit from our traffic across the ecosystem. 9:21 In terms of our new businesses, our ongoing efforts to engage and collaborate with NEV automakers led to increasing revenue from NEV brands, which more than doubled on a year-over-year basis. Our digital dealer solutions also continued to achieve breakthroughs in the data product adoption rate by dealer customers, evidenced by an increase of 18% year-on-year in the average number of data products adopted by each dealer. 9:52 Additionally, leveraging our integration with TTP, via our matching and auction capability, we have reinforced our position in the used car market, contributing to approximately 17% of all used passenger vehicle trades in China. 11:14 Next, I will provide more details on several areas. With regards to traffic, according to QuestMobile, Autohome's mobile DAU reached 46.9 million in December 2021 with a year-over-year increase of 11.4%, surpassing the total DAU of the second and third largest players in the market combined. In addition, according to Jiguang Aurora's data, as of the end of Q4 2021, Autohome's App penetration rate kept its #1 position in the auto media vertical and maintained its top-of-mind status as a preferred auto platform for meeting user needs for reviewing, buying and using cars. 12:00 Notably, the proportion of high-end users with smartphones worth over RMB5,000 is 37%, far beyond the industry average. This user base with its valuable traffic and strong purchasing power has helped the company to generate the most revenue within the auto media vertical. Meanwhile, building on our alliance with AMAP, we will create new selections and in-store visit patterns as well as induce higher traffic from AMAP's navigation services, so further laying a solid foundation for our sustainable growth. 13:09 Regarding content, we are actively developing innovative content offerings including short video, live streaming and content for NEV-centric online community to enhance our product power and reshape our content strength. We also prioritized our resources to continuously create blockbuster content and IP to increase user engagement and user stickiness, ultimately becoming the go-to auto vertical video platform, the largest online auto vertical live streaming platform, as well as the largest online NEV-centric vertical media. 14:36 Autohome pioneered the Global 818 Super Auto show, now a well-known auto IP, which has successfully run for three consecutive years and attracted country-wide attention. During 2021's Global 818 Super Auto Show, we garnered more than 500 million visits, drove over 90 million interactions and generated over 15.5 billion in search results. This event truly demonstrated our ability to connect users, OEMs and dealers, as well as our influence on the industry as we emphatically promote the industry's development. 16:14 During the November 2021 Guangzhou Auto Show, Autohome innovated live streaming scenes with immersive online shopping experiences. KOL plus dealer live streaming reached on average 500 live streams per day. With the increase in time spent by users on multi-screen viewing and elevated KOLs' interaction rates, the results were apparent with dealers' conversion rates greatly improved and total views reaching 700 million. In addition to the Guangzhou Auto Show, Autohome held a Power Fest 2021 to provide networking opportunities for auto fans and youngsters' innovation competition to widen Autohome's brand awareness among the younger generations. The exposure for both these events exceeded 100 million. Furthermore, during the year, we created the largest online auto owners' manual library, motorcycle model library and auto modification library, which along with our 3D modification tools, enhanced the user experience. 18:36 Since the start of 2021, chip shortage and raw material price hikes have greatly affected the auto industry and caused reductions in auto-makers' marketing budgets. Nevertheless, Autohome's traditional business remains stable, firmly maintaining its leading position as the #1 in the auto media vertical. Furthermore, we also launched this year an innovative R2S, resource to solution, model empowering OEMs with an integrated, one-stop solution. The expansion of our new business effectively reduced the downward pressure on our traditional business amid the challenging environment. Regarding our leads generation business, we have efficiently fulfilled our dealer-customers' needs through product upgrades and differentiation. The annual leads subscription package contract renewals process was better than expected, with an 88% renewal rate of our high-end version, including our premium and the tech version. According to Analysis China, in 2021, Autohome is an industry leader in terms of both sales leads volume and the leads connection rates. 20:40 We continue to work tirelessly to empower automakers' digital transformation through our AI & 3D applications. We have launched a series of new data products such as Private Domain Operations and VI Sales Packages. Regarding dealer digitalization, we have launched SiNan and Smart QC to help dealers manage their performance visually. In 2021, the average number of digital products purchased per dealer customer has increased by 18% year-on-year to 3.59. 22:10 Aligned with the rapid growth in NEV market, we have upgraded our NEV commerce service to provide an all-around solution to NEV companies, from branding to advertisement tracking. Our NEV commerce service helps them build brand visibility and grow sales. Autohome has collaborated with 22 mainstream NEV brands in 2021, with revenue generated from the NEV business increasing by 128% year-on-year, capturing 60% of market share in the media vertical among mainstream emerging NEV players. In the future, we will continue to expand our NEV business through content upgrades, innovative channels and user operations to build the largest online media vertical and trading platform for NEVs. 24:27 For our used car business, Mr. Haifeng Shao, president of Autohome, has become the Chairman of TTP. Autohome has further expanded our business through deepening synergy with TTP, creating an integrated platform connecting information, operations and trades. The used car business is driving forward with an asset-light and platform-focused strategy. As a result, TTP's financial performance is consistently improving 24:58 For used car buyers and sellers, we have developed a tremendous database of car usage history. We are able to retrieve 98% coverage in car insurance history and 80% in maintenance history, which also makes us the industry leader; therefore, we're able to efficiently resolve buyers' concerns during used car purchases. In addition, Smart Invitation products enable dealers to improve the quality of their leads and hence lead to improved transaction efficiency. Going forward, Autohome's used car business will continue to pursue our comprehensive sector strategy through digitalizing used car information and dealer operating processes. We aim to consolidate our leadership as the largest online used car trading platform in China, providing standardized merchandise and a transparent process. 26:35 We will fully integrate into the Ping An auto ecosystem and leverage Ping An's advantages to realize our unique presence in the auto industry. With a wider as well as deeper scope of collaboration, we will leverage Ping An's large offline team, which will provide us with distinct advantages compared with other internet companies. By connecting with Ping An's massive high-value customer base and over 140 million car owners, Autohome's partnership with Ping An aims to create the industry's first complete automotive ecosystem. 27:50 2022 is likely to bring opportunities and also post new challenges. Looking ahead as we continue to uphold our value proposition with vigorous promotion of our ecosystem strategic transformation, we are determined to pursue our mission to empower our customers with top-notch products and services, aiming to achieve long-term sustainable growth. At the same time, we'll promote the comprehensive implementation of strategic upgrades through strategic investment in new business areas, bringing Autohome back on track to fast growth. We are completely confident of the long-term development of China's overall auto market as well as Autohome's ongoing growth in the future. 29:06 With that, I will now turn the call over to Ms. Hong Jiang, our finance director, for a closer look at our financial results for the fourth quarter and the full year 2021.
Hong Jiang: 29:20 Thank you, Mr. Long. Now, let me walk you through the key financials for the fourth quarter and the full year 2021. Please note that, as with prior calls, I will reference RMB only in my discussion today unless otherwise stated. Net revenues for the fourth quarter were RMB1.69 billion. For a detailed breakdown, media services revenue came in at RMB373 million, leads generation services revenues was RMB778 million, and online marketplace and others revenues were RMB543 million. 29:55 Moving on to costs. Cost of revenues were RMB262 million, compared to RMB268 million in the fourth quarter of 2020. Gross margin was 85% in the fourth quarter compared to 89% in the same period of 2020. Turning to operating expenses. S&M expenses in the fourth quarter were RMB803 million, compared to RMB871 million a year ago. The decrease was primarily due to the decrease in promotional spending and continuous budget control. Product and development expenses were RMB395 million, compared to RMB397 million in the fourth quarter of 2020. Finally, G&A expenses were RMB128 million, compared to RMB71 million in the fourth quarter of 2020. 30:44 The increase was primarily due to the consolidation of TTP. Overall, we delivered operating profit of RMB177 million for the fourth quarter, compared with RMB947 million in the corresponding period of 2020. Adjusted net income attributable to Autohome Inc. was RMB470 million for the fourth quarter, compared to RMB1,192 million in the corresponding period of 2020. 31:12 Non-GAAP basic and diluted earnings per share for the fourth quarter was RMB0.93 and RMB0.93, respectively, compared to RMB2.49 and RMB2.48, respectively, in the corresponding period of 2020. Non-GAAP basic and diluted earnings per ADS for the fourth quarter was RMB3.71 and RMB3.71, respectively, compared to RMB9.95 and RMB9.91, respectively, in the corresponding period of 2020. 31:44 Now let me now turn to a short summary of our 2021 full-year results. Total revenues were RMB7.24 billion. Of that, media services revenues were RMB2.01 billion, leads generation services revenues were RMB2.99 billion, and online marketplace and others revenues increased by 11.6% year-over-year to RMB 2.24 billion, primarily attributable to the consolidation of TTP. In addition, we delivered an adjusted net income attributable to Autohome Inc of RMB 2.58 billion, which excluded certain non-cash charges or non-operating items. As of December 31, 2021, our balance sheet remained very strong with cash, cash equivalents and short-term investments of RMB 20.73 billion. 32:37 We generated operating cash flow of RMB3.52 billion in 2021. On November 18, 2021, our Board of Directors had authorized a share repurchase program under which we may repurchase up to USD 200 million of Autohome's ADSs for a period not to exceed 12 months thereafter. As of February 22, 2022, we had repurchased 432,653 ADSs for a total cost of approximately USD 12.7 million. I'm also pleased to announce that our Board has approved a cash dividend of approximately USD 0.53 per ADS, or USD 0.1325 per ordinary share. Following this dividend payment, we still have ample capital resources to invest in our business and further strengthen our leadership position going forward. 33:41 With that, we are ready to take your questions. Operator, please open the line for Q&A
Operator: 33:48 We will now begin the questions-and-answer session. [Operator Instructions]. Our first question, Mr. Thomas Chong from Jefferies. Please go ahead.
Thomas Chong: 34:25 Thank you for taking my question. I have a question on our view on the auto industry outlook in the coming quarters and the competitive landscape? [Foreign Language].
Quan Long: [Foreign Language] 36:05 [Interpreted] Well, thank you very much. I'm glad to take the question. I'm the chairman and the CEO. My name is Long Quan. Well, actually, according to the statistics from the Passenger Car Association that mainly in January of '22 -- actually, in 2022, the Chinese auto market the -- actually, the growth of the whole market on the retail side would be about 5%. However, for the new electric vehicle, the accumulated sales would be more than 5.5 million, which the market penetration rate can be 25%. The growth rate of the sales of the NEV in China market would be around 70%. 37:39 Now let me talk about Autohome. We have two piece of business: one, the traditional business, the second would be the new business. Now let's focus on the traditional business. Actually, with the recovery of the Chinese auto market, we believe our traditional business would resume back to the normal track. Actually last year, the Chinese auto market was quite down. So that's why it dragged down our traditional business. However, having said that, I still want to say we continue to be number one in the auto vertical media market. 39:15 Now let's focus on the new business. We have three pillar industry for the new business. One is the digitalized product. Actually, we believe in 2022, the revenue of this piece would greatly increase in terms of the contribution to the total revenue. The second piece would be the NEV. Actually, we had a collaboration with all NEV brands in China, and this will continue to grow and contribute to the total revenue. And the third business would be used car. As you know, Mr. Haifeng Shao was named as the Chairman of the TTP and he would defend the strategic collaboration of TTP with Autohome, which would also drive up the revenue.
Operator: 40:09 Thank you. Next question Our next question, Ritchie Sun from HSBC. Please go ahead.
Ritchie Sun: [Foreign Language] 40:43 [Interpreted] Let me translate the questions myself. Thank you very much for taking my questions. Two questions, first is about 2022, your view on the used car market outlook? Second of all is what is our used car business goal or priority in 2022? Is it about profitability or it's about top line? Thank you.
Quan Long: [Foreign Language] 42:18 [Interpreted] Well, thank you for the question. As for the used car market, we believe it will continue to grow. Actually, in 2022, it will keep 20% of the market growth. However, the used car market has a few features, which is quite distinctive. For example, the first feature is, it is a price segmented market. A lot of players and the stakeholders in this market was quite small. There is no much leader or monopoly player in this market. And also the lack of trust between the auto sellers and the buyers would be a major problem in the used car market. 44:05 Actually, for our used car business plus TTP, we do have a good strategy. We have -- we target based on the strategy. The first one is our growth of the revenue should outpace the market average. Secondly, we want to achieve breakeven based on the breakeven foundation. We are going to further expand the transaction, especially the volume of the used car transaction, which would drive up the revenue. And thirdly, for the 2022, we are going to enhance the digital business and the digitalized business for the used car, which would be recognized by the dealers, and that would also [ Technical difficulty] the revenue. Thank you.
Operator: 44:58 Thank you. Our next question [Indiscernible] Wang from CICC. Please go ahead.
Unidentified Analyst: [Foreign language] 45:28 [Interpreted] Thanks for taking my question. So we can see some pressure on the operating margin this quarter. And I'm wondering if we still have some ongoing investment on the digital transformation. Or we are considering some cost control in the future? And when do we expect the operating margin to improve margins? Thank you.
Hong Jiang: [Foreign Language] 45:49 [Interpreted] Well, thank you. In terms of the 2022, based on the outlook of the auto market in China, we believe the traditional auto market would recover, which would bring up our traditional business. On the 2B side, we are going to increase the efficiency and also compress the operating cost, and in this way we would achieve more cost effective. And secondly, we are going to invest more in the innovative new business, especially the new business model development and the new R&D for the 2B business 47:57 Now on the C side, we're going to bring more innovative products. For example, the live streaming and the NEV, we are going to establish NEV's bachelor area to attract the young generation and attract new traffic. And we're going to enhance the customer and the user operating and also to attract more young users. Actually, with more investments in the sales and marketing and R&D, we're quite focused on the efficiency of seeing the investment. So this would not affect our operating margin. And in 2022 [Technical difficulty] of the Chinese auto market, we believe that our margin can also be improved. Thank you.
Unidentified Analyst: [Foreign language]
Quan Long: 50:49 [Interpreted] Now I want to focus on the NEV. Actually, the NEV -- the sales already established a momentum, which is quite bullish, because in 2021, the sales growth is about 160%. In January, the growth also achieved more than 100%. So we expect 2022 the NEV would continue to experience quite robust growth. As our Chairman has said, this will already account for 25% of the total passenger car in China.
Sterling Song: 51:48 Operator?
Operator: 51:33 Thank you. There are no further questions at this time.
Sterling Song: 51:59 Operator, let's continue.
Operator: 52:07 Sorry. There are no further questions at this time.
Sterling Song: 52:15 Okay. Can you see if there's no follow-up questions…
Operator: 52:16 Anyone – do you still have any follow-up questions?
Unidentified Analyst: 52:22 Yes, if nobody is having more questions. So I have a follow-up question on the dealers' leads. Is there any update on the leads of the dealers? And thanks for the -- so some more color on this. Thank you.
Haifeng Shao: [Foreign Language] 53:46 [Interpreted] Thank you. In terms of the dealer leads product, especially our [Indiscernible], we continued our relationship with the dealers. In 2021, we already designed the strategy that the ordinary version, the price kept as flat. The VIP version, we raised the price by 20%. And for the NEV business, we create more value for the dealers. We want to empower the dealers to enhance its operating efficiency, and we also provide a lot of operating toolkits for the dealers. As our Chairman has pointed out, we want to be a differentiator in the market. 54:52 For the ordinary version, we do not raise the price because we want a wide coverage of the dealers. For the VIP version, we would offer most capable dealers to make a choice, whether they want to accept the VIP version, which is 20% more, but for good value. And we also did a lot of campaigns and activities to empower the dealers to enhance his operating. In terms of the renewal rate in 2021, which is quite positive, which is also beyond our expectations. As for the ordinary version, we want a wide coverage, which the coverage is quite positive. And for the higher version, we do see that it has good coverage as well. So altogether, it's 80% of the coverage under the renewal rate. 56:26 So in summary, I want to say in 2022 in terms of the competition between the three major players, our [Indiscernible] would be the winner.
Sterling Song: 56:40 Thank you. Operator?
Operator: 56:44 Thank you. There are no further questions at this time. I will turn the conference back to management for closing comments.
Quan Long: [Foreign Language] 57:11 [Interpreted] Everyone, thank you very much for joining us today. We appreciate your support and look forward to updating you on our next quarter's conference call in a few months' time. In the meantime, if you have any further questions, please feel free to contact us. Thank you, everyone. Thank you, bye.
Operator: 57:29 This concludes the conference all. You may now disconnect your lines. Thank you.